Operator: Ladies and gentlemen, thank you for standing by, and welcome to the TimkenSteel Second Quarter 2020 Earnings Conference Call. At this time, all participants’ lines are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the call over to Jennifer Beeman. Thank you. Please go ahead, ma’am.
Jennifer Beeman: Thanks. Good morning, everyone, and welcome to TimkenSteel second quarter 2020 conference call. I’m Jennifer Beeman, Senior Manager of Communications and Investor Relations for TimkenSteel. Joining me today is Terry Dunlap, Interim Chief Executive Officer and President; Kris Westbrooks, Executive Vice President and Chief Financial Officer; as well as Tom Moline, Executive Vice President of Commercial. You all should have received a copy of our press release, which was issued last night. During today’s conference call, we may make forward-looking statements as defined by the SEC. Our actual results may differ materially from those projected or implied due to a variety of factors, which we describe in greater detail in yesterday’s release. Please refer to our SEC filings, including our most recent Form 10-K and Form 10-Q, and the list of factors included in our earnings release, all of which are available on the TimkenSteel website. Where non-GAAP financial information is referenced, additional details and reconciliations to its GAAP equivalent are also included in the earnings release. With that, I’d like to turn the call over to Terry. Terry?
Terry Dunlap: Thank you, Jennifer, and thanks everyone on the call for joining us this morning. The second quarter presented extraordinary challenges to our country, to our customers and to our company. Our employees were exceptional in facing the challenges confronting TimkenSteel in this environment.  Few highlights for the quarter. First we operated safely. Our OSHA recordable rate was in an all time low for the first half of the year. In addition to our steadfast attention to operating safely, our employees have been diligent and following the COVID-19 precautions we put in place to maintain a healthy work environment. This diligence and great teamwork across the company allowed us to maintain uninterrupted service to our customers.  My sincere thanks to the TimkenSteel team for their ongoing focus on staying safe and watching out for their coworkers every day. Second, we were able to deliver positive EBITDA and cash flow despite extremely weak demand. Last quarter, we shared some of the immediate cost reduction actions we introduced when the impact of COVID-19 was becoming clear, including reduced operating schedules, rolling furloughs for salaried employees, reduced compensation for our Board of Directors and leadership team, and the suspension of 401(k) matching contributions to name just a few.  These incremental cost reductions combined with other pre-COVID cost reduction actions and systemic working capital management initiatives contributed to generating second quarter EBITDA of $5.7 million and second quarter operating cash flow of $16.1 million. As expected demand in the second quarter fell significantly as a result of customer plant shutdowns, order cancellations and delays.  Second quarter shipments of 108,700 tons represented the company’s lowest shipping quarter in more than 30 years. Initially our automotive sales were severely impacted by our customers immediate and widespread plant outages followed by their slow and sometimes choppy restart processes. As June progressed, we began to see a somewhat steady or recovery. In fact, June sales in the light vehicle sector exceeded industry forecast, due in part to stronger than anticipated online sales and the reopening of dealerships. And the truck and SUV markets relatively low vehicle inventory levels drove more immediate ramp up efforts during the quarter and for the products we sell for those high volume models. Customers in the industrial end markets, including defense, generally remain operational during the quarter with fairly stable demand and inventory levels. Our distributors continue to align inventory with changing demand from their customers and continue to be cautious in buying patterns and inventory management. As widely reported, the energy market remains under great pressure as a result of low pricing and demand. And as a result, we expect very low levels of activity to continue for the foreseeable future.  Most importantly, we are staying close to our customers as they navigate these many challenges and continue to align our operating schedules accordingly. Overall, we estimate our ship tons were 100,000 lower in the second quarter due to the impact of COVID-19 with a corresponding decrease of $120 million in net sales. From an operations and cost management perspective, we aggressively reduce production schedules at all plants in response to the decline and demand.  In addition, we instituted rolling furloughs that impacted 90% of our salaried workforce by an average of five weeks, further reducing administrative costs. Beyond the immediate challenge of COVID-19, we remained focused on long-term performance and profitability improvement actions. We continue to implement a number of long-term cost reduction initiatives launched in late 2019 and early 2020.  As we discussed in the past two calls, numerous cross functional teams focused on a wide range of cost reduction and working capital efficiency work streams are active across virtually all functions and activities of the business. A few examples include, ongoing actions for restructure our organization in order to reduce costs, improve the efficiency of decision making, and ultimately further improved service to our customers. These actions have resulted in a 15% head count reduction in the first half of 2020 and a 28% reduction since the beginning of 2019. Another example is the ongoing evaluation of our overall product portfolio to focus on areas of strength and adjusting an area is no longer critical to our customers or where market dynamics have changed significantly.  One recent area, this focus has been on our seamless mechanical tubing product line, where we will be eliminating certain historically unprofitable sizes from our product catalog. We’re working closely with customers to complete a smooth transition by year-end. We anticipate the impact of this action will result in a $3 million per year EBITDA improvement. There are dozens of other projects similar to the examples I just mentioned being worked on in all areas of the company with the goal of sustainable profitability and cash flow generation. We will continue to update you on our progress. In addition, as we have discussed on recent calls, our value-added components to product line continues to be an area of focus. As a reminder, these are highly engineered parts made from TimkenSteel bars and tubes for the automotive, industrial and energy markets. We provide solutions to our customers to simplify their supply chain and supplier base by helping to manage the supply chain from raw material to finish component, providing customers with just in time parts inventory to meet their manufacturing needs.  The expansion of our value-added components facility near Dayton, Ohio remains on time and under budget. In July, production of semi-finished and finished powertrain components for our automotive customers began and the expanded machining operations at that facility. We are now working closely with three major customers on final qualifications and ramp up production schedules. We estimate sales from these new product launches to be modest in 2020 at approximately $25 million increasing to approximately $80 million in 2021. In addition, we continue to review application and performance requirements to identify new opportunities. With that, I’d like to turn the call over to Kris. Kris?
Kris Westbrooks: Thanks, Terry. Good morning, everyone. And thank you for joining us today. I also wanted to take the opportunity to acknowledge the hard work and dedication of our entire organization during a very challenging second quarter. Although the sequential and prior year periods are unfavorable comparisons, we safely operated throughout the second quarter to support our customers’ needs, significantly reduced costs, expanded our cash position and continued to maintain a high level of available liquidity. So thank you to all our employees for your hard work and dedication.  Moving now to financial matters. On a GAAP basis, our second quarter of 2020 net loss was $15.3 million. Excluding certain items, the adjusted net loss was $14.3 million in the quarter. Adjusted EBITDA of $5.7 million in the second quarter was significantly aided by the ongoing cost reduction program that we previously discussed as well as additional COVID-19 related cost reduction actions.  Our cash balance was at a record high level with $75.5 million at the end of the second quarter an improvement of nearly $10 million from the end of March. Available liquidity from our credit facility plus cash on hand was approximately $252 million as of June 30, 2020. Cash generated from operating activities in the second quarter was $16.1 million, and first half of 2020 operating cash flow generation was approximately $80 million.  Moving now to the drivers of the second quarter results. Net sales of $154 million in the quarter declined 41% from the first quarter of 2020, and 54% from the prior year second quarter. Both reflective of a significantly lower demand, primarily as a result of automotive industry disruption related to COVID-19 and continued weakness in the energy sector. As Terry mentioned, we estimate the total negative impact of COVID-19 on our second quarter net sales was $120 million and when combined with the late first quarter impact, the total year-to-date impact is estimated to be $130 million. In addition to lower volume, net sales were compressed by lower surcharge revenue in the second quarter. The decline in sequential quarter surcharge revenue of $21.6 million was a result of lower ship tons. In comparison to the prior year second quarter, the decline in surcharge revenue of $53.6 million was a result of both lower volume and 29% decline in average raw material surcharge per ton on lower scrap and alloy prices. As Terry mentioned, shipments were 108,700 tons in the second quarter of 2020. The month of May represented the low point in the second quarter, with shipments of approximately 30,000 tons. From May to June, shipments improved by approximately 55%. The overall decline in second quarter shipments drove a $16.8 million sequential reduction in adjusted EBITDA and a $26.9 million reduction versus the second quarter of 2019. From an end market perspective, shipments to automotive customers were 32,700 tons in the quarter, a 63% decrease from the first quarter and a 70% decrease from the second quarter of 2019. These decreases are almost entirely the result of temporary automotive plant stoppages related to COVID-19. Although, demand in shipments began to improve in June, automotive shipments have not yet returned to pre-COVID stable levels. Shipments were 63,200 tons to industrial and 9,100 tons to energy in the second quarter. Both of which were lower sequentially and as compared to the prior year quarter. COVID-19 related demand reduction impacted the industrial and energy markets, but not as significantly as automotive. Additionally, energy shipments continue to be negatively impacted by a weak oil and gas market. OCTG billet shipments of 3,700 tons were minimal in the quarter and are expected to remain modest for the foreseeable future. Price and mix improved in the second quarter with a favorable EBITDA impact of $7.4 million compared to the first quarter and $4.4 million compared to the second quarter of 2019. Reduce shipments of lower margin products, including OCTG billets, positively impacted average price and mix. Manufacturing improved $3 million sequentially and $7 million in comparison to the prior year second quarter. These improvements were primarily a result of additional cost reductions aided by flexible production schedules and unpaid salary furloughs, partially offset by unfavorable fixed cost leverage on significantly lower production levels in the second quarter of 2020. Melt utilization declined to approximately 20% in the second quarter as a result of the COVID-19 related low demand environment. Close collaboration between our manufacturing, supply chain in commercial organizations has enabled the company to manage weekly production schedules with flexibility to ensure alignment with demand, while maintaining high on time delivery for our customers. We’re not operating hourly employees are on layoff and costs are significantly reduced. We will continue to closely manage production schedule on a weekly basis going forward, while ensuring that we are position to meet the needs of our customers as demand recovers. SG&A expense for the quarter was $16.8 million, an improvement of $6.6 million sequentially and $3.4 million from the prior year second quarter. Lower SG&A expense was primarily due to savings from prior restructuring actions in COVID-19 related actions, partially offset by increased variable compensation. Moving on to cash and liquidity. Our total available liquidity was approximately $252 million at the end of the second quarter of 2020 and improvement of $21.6 million since the end of 2019. Compared to the end of the first quarter, total available liquidity declined $38.1 million as a result of a lower asset borrowing base, given the current economic environment and ongoing working capital management activities. During the quarter, the company generated free cash flow of $9.4 million and closed the quarter with $75.5 million of cash. The positive free cash flow generation in high level of cash was a result of inventory reductions in all categories, effective management of receivables and payables and the continued benefit of aggressive cost reduction actions. In addition to positive free cash flow, we’ve continued to make progress with the ongoing sale of non-core assets and receive cash proceeds of approximately $1 million during the second quarter, upon the sale of certain assets located at our former facility in Houston, Texas. Year-to-date, proceeds from the sale of non-core assets exceeded $8 million. Our convertible debt with the principle amount of $86.3 million was reclassified from a long-term liability to a current liability in the second quarter, reflective of a June 1, 2021 maturity. We continue to monitor the capital markets and believe that options exist to address the convertible debt opportunistically in advance of or at its maturity. Overall, our liquidity position at the end of June remains sufficient to meet the current needs of the business. From a pension plan perspective, the company recorded a non-cash remeasurement gain of $1.9 million in the second quarter of 2020, which has been excluded from our adjusted EBITDA results. The ongoing quarterly measurement of the U.S. salary pension plan obligation and assets in 2020 was triggered in the first quarter this year. Following the second quarter, U.S. salary pension plan remeasurement, the total funded status of all company pension plans was approximately 85% as of June 30, 2020, flat for the end of the first quarter and down slightly from the end of 2019. There are no additional required pension contributions in 2020. Switching gears to our cost reduction actions, last quarter, I walked you through a variety of COVID-19 related actions that we implemented at the onset of the pandemic on top of the ongoing cost cutting actions commenced in 2019. The COVID-19 related actions reduced administrative expenses and preserved approximately $5 million of cash during the second quarter. Additionally, the company deferred cash payments of $2 million of social security payroll taxes during the second quarter, an opportunity that was afforded by the CARES Act. Future cash deferral in the second half of 2020 is estimated to be $5 million, bringing the total 2020 estimated payroll tax deferral to $7 million that will be paid in two equal installments at the end of 2021 and 2022. We’re currently analyzing the CARES Act employee retention credit, given that our gross sales were down in excess of 50% in the second quarter of 2020, in comparison to the prior year. We’ll provide an update on this topic in the future as the analysis is complete. As it relates to manufacturing staffing, demand related layoffs in the second quarter generated approximately $11 million of savings. As I mentioned, we will continue to align plant staffing to our manufacturing schedules and demand in the coming months. These actions, in addition to the previously discussed ongoing $70 million run rate savings program contributed significantly to both our second quarter adjusted EBITDA results and our substantial available liquidity. Looking forward from a commercial perspective, order bookings have improved in recent weeks with the second half of the third quarter, looking stronger than the first half of the quarter, but demand has not yet returned to pre-COVID levels. Visibility continues to be limited as customer order bookings are aligned with our relatively short lead times. Operationally, we’ve recently performed the majority of our annual shutdown maintenance activities with an estimated cost of approximately $6 million in the third quarter. Although, this represents an increase of approximately $2 million from the third quarter last year, our full year 2020 shutdown maintenance costs are estimated to be a reduction of $3 million from 2019. Lastly, we further reduced our plan CapEx and now expect to spend between $15 million and $20 million in 2020. We believe this level of spending is sufficient to complete the value added components expansion at our Eaton, Ohio facility, as well as continue to maintain our assets at a high level and a lower than normal production year. To wrap up, we remained focused on supporting our customers’ needs, operating our facilities safely and in alignment with the current demand environment and continuing the aggressive focus on cost reduction and working capital management. Given the continued uncertainty around the extent and duration of COVID-19 and the resulting volatility in our end markets, we are not providing quarterly earnings guidance at this time. This wraps up my prepared remarks. We would like to open the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes to the line of Seth Rosenfeld of Exane BNP.
Seth Rosenfeld: Good morning. Thank you for taking my questions today.
Terry Dunlap: Good morning, Seth.
Seth Rosenfeld: If I may – good morning. I have a question with regards to product mix and impact on ASP. And obviously, we saw a somewhat surprising improvement in net sales per ton in the quarter. You touched on earlier, the decrease in OCTG substrate sales, we think a contributing factor to that. Can you give us any more color on kind of what drove that scale of an improvement in realized pricing despite the market headwinds? And then when we look forward to Q3 and beyond. Is this Q2 print kind of a right run rate? Or should we be resetting that lower for any one off factors as we look forward? Thank you.
Terry Dunlap: Seth, well, first of all, due to our much lower automotive shipments, it certainly had an impact on the average selling price. And I don’t think you should plan on it being the same for the third quarter at the highest level that was really the biggest driver. Tom, you want to add just any other color you want to put on that, please?
Tom Moline: Yes. Terry, that’s exactly correct. At the comprehensive level, our average values were much more influenced by mix than they were price by a large level. And the biggest influencers of that average value from mix perspective was the lower shipments of mobile on-highway products, which are lower alloy containing type materials and the much lower shipments of oil country tubular goods billets. If you look deeper into the markets themselves within our industrial markets, the average values were reasonably high in second quarter. Again, that was a mixed related issue. And the mixed shift in industrial was based on alloy content. Average values were impacted by lower shipments of low oil or low alloy containing bar products to the general industrial markets, offset by high alloy containing products for defense type applications. And in energy, if you excuse the OCTG billets from the rest of the mix, the mix shift that happened there was more product driven. Product type two a large percentage of higher average value two products and Q2, energy shipments included 51% two products relative to only 19% in Q1. And I don’t expect – we don’t have much visibility on the [indiscernible] as we’re still booking in Q3. So are those average value is going to hold? Not at the comprehensive level, because we’re going to be reintroducing a much larger volume of automotive products and within the sub-markets, that mix is going to shift as well as we go into Q3, but still hard to forecast because we’re still booking in that window.
Seth Rosenfeld: Okay. That’s very clear. So we should expect something of a step lower just as auto volumes recover and then we’ll get a more normalized run rate thereafter based on the more specific product mixes within each end market sounds like. That’s very clear. And then second question, please. With regard to outlook for Q3 shipments, and you just touched on the fact that you’re still booking, you don’t have full clarity. Can – last quarter, you’re able to give us a little bit of color with regards to kind of current utilization rate at the time of results. As of today, we’re already working our way through the third quarter. Can you tell us a little bit about where you’ve been through July and early August with regards to volumes or utilization rates placed?
Terry Dunlap: Kris, you want to take that one?
Kris Westbrooks: Yes. We can’t get into a lot of details on that. We have seen our production facilities continue to be operated as demand continues. And this is a gradual improvement in demand and it’s choppy. So it can change significantly week to week, and that’s how we’re managing it, but it’s not back to say Q1 or prior levels.
Seth Rosenfeld: Okay. Thank you very much.
Terry Dunlap: You’re welcome.
Operator: Your next question comes from the line of Tyler Kenyon of Cowen.
Tyler Kenyon: Hi, good morning.
Terry Dunlap: Good morning, Tyler.
Tyler Kenyon: Kris, curious as to maybe how we should be thinking about working capital moving into the third quarter, another strong release in the second quarter here. And curious as to how we should be thinking about that in the third quarter. And then as we close the year realized that visibility is somewhat limited at this point, but anything you could add would be helpful.
Kris Westbrooks: Absolutely. It’s still a significant focus for us. All of the tactics that we implemented late 2019 and early 2020, if continued to benefit us. We do expect to see some inventory release here, but it’s modest. We’ve taken the inventories down to a level that supports our needs today. The receivables and payables are just going to be a function of what’s happening with our demand. If we’re shipping more, you’ll see those receivables be a use of cash and we’ll be buying more. So it’s just that timing of how that comes through. So it’s still a clear focus for us sustaining all those improvements we implemented before we do believe there’s opportunity there. But I can’t guide you in terms of the size or exactly the direction.
Tyler Kenyon: Got it, okay. And with respect to restructuring, is there any more cash outflow expected and do you expect to realize any further proceeds just from asset sales from some of the restructuring efforts that you’ve taken thus far?
Terry Dunlap: Yes. Seth, we’re continuing to work on asset sales and you’ll hear more about that next quarter. We have a lot of things in motion there. And technically, on restructuring charges, there will be ongoing charges as we go forward. That’s just part of the rhythm of what we’re doing. Kris, you want to add anything to that?
Kris Westbrooks: Yes. So at the end of June, we had $3.4 million on our balance sheet as a reserve for future payments on restructuring. So that cash will go out primarily in the third quarter. And then obviously any new activities we have will be incremental to that.
Tyler Kenyon: Thank you.
Operator: There are no further questions at this time. I will now turn the floor back over to Jennifer Beeman for any additional or closing comments. I’m sorry, you have another question. I apologize. Phil Gibbs of KeyBanc Capital Markets.
Phil Gibbs: Thanks very much. Good morning. 
Terry Dunlap: Good morning, Phil. 
Phil Gibbs: So the $6 million of maintenance in the third quarter, is that all incremental to what you experienced in the second quarter?
Kris Westbrooks : Yes, exactly.
Phil Gibbs: Okay.
Kris Westbrooks : Yes.
Phil Gibbs: And then it sounds like we’ve already talked about mix in the third quarter volumes and you did take obviously some pretty aggressive cost actions in the second quarter due to the pandemic. Is there any costs that, that begins to return in the third quarter that, that you had taken down in Q2 and now that you’ve got incrementally better volumes visibility in the automotive supply chain?
Terry Dunlap: Well, Phil, the CARES Act provided us a lot of opportunities, which we took full advantage of. And you read about it, heard about it in our numbers. And so with the CARES Act in particular the $600 furlough supplement being gone or at least gone for the moment that that will add some cost back into the business for sure. On the hourly side that, that won’t change anything. We’ll continue to run our playbook with the operations and staffing accordingly. So there’ll be no change there.  So I think the single biggest thing will be just the impact of the furloughs that we were able to take advantage of on the salary employee side and what we do to mitigate that going forward. Certainly, the Congress hasn’t decided what they’re going to do or not going to do, but at the moment there’s nothing. So we would fully expect that to look different in the third and fourth quarters in the current state. Kris, you want to add anything else to that? 
Kris Westbrooks: It just some specificity on the furlough piece, I mentioned $5 million of administrative expense reductions in Q2 related to COVID, about two-thirds of that was furloughs that ran April, May and June. We did continue to run the furlough plan in July for about $1 million of savings, but you will see a $2 million difference with higher cost in Q3 as a result of no furloughs, no further furloughs. 
Phil Gibbs: Okay. So that’s relative to Q2, it’s something like that, that $5 million salary hit about half of that comes back. And then you get a little bit more of that coming back in the fourth quarter. Does that sound right?
Kris Westbrooks: Yes. 
Phil Gibbs: Okay. And then you did talk about some of your longer-term revenue opportunities in the value-added business. Maybe talk a little bit more about exactly what you’re doing there and then some of the cadence in the timing, and then whether or not your staff and call it expense in terms of your asset capability to meet those goals as of today.
Terry Dunlap: So we do have the businesses the [indiscernible] they have happened, and we’re now in ramp up mode and for the fourth – third and fourth quarter with three major customers, which we’re not at Liberty to say who those are, but those are ongoing just on, totally on plan. The added equipments pretty much in place. The employee base is already there between training and the activity of making the products and getting into the rhythm of shipping to our customers. So that will continue to ramp up through the rest of the third and fourth quarters and be at close to full run rates in the first quarter of 2021.  So wouldn’t expect any additional significant costs of staffing or other expenses that are already – there are already in the business prepared to support our three customer programs we have with the expansion. So that’s where we mentioned the run rate getting up to a full year $80 million type number as we head into 2021. So we’re staffed up ready to go, and it’s all systems go at this point with the company.
Phil Gibbs: Thank you. And then last one from me.
Terry Dunlap: Go ahead. Go ahead, Phil, no problem. 
Phil Gibbs: I was going to in terms of something else, so if you want to finish that.
Terry Dunlap: No, no, no, please go ahead.
Phil Gibbs: Okay. So the second quarter I would imagine had – did have some benefit from the widening of prime scrap due to obsolete scrap this quarter. Certainly that looks to be narrowing pretty aggressively. Should we consider a raw material spread impact of the third quarter best as you can see it?
Terry Dunlap: Well, it’s hard to predict, right. You’ve heard from everybody else and their views on what’s happening in the scrap market, and it’s still appears to be highly unpredictable. So the spreads we’ve had over the last couple of months have been very positive. I think they’ll continue to be positive from an historical perspective, whether they stay at the same levels that we enjoy for a couple of months in the second quarter is to be determined.  So but it doesn’t appear there going back to sort of historical spread levels, at least in the short-term. So whether we can sustain what we were able to achieve in the second quarter is to be determined. The one thing about the scrap market right now is, it appears to be like many other things, fairly unpredictable at the moment. So my guess would be somewhere in the middle, Phil between where we were and where the historical numbers are. But of course, since I say that by tomorrow, that’ll again, so.
Phil Gibbs: Yes, forecast often. Thanks, guys. Bye, bye. 
Terry Dunlap: Okay. Thanks.
Operator: There are no further questions at this time. No, thank you. No, I’ll go ahead and turn it over to you, Jennifer, for any closing or additional comments. 
Jennifer Beeman: Okay, great. Thank you, everyone. Thanks for joining us today. We look forward to updating you next quarter and stay healthy. Thank you. 
Operator: Thank you. That does conclude today’s conference call. You may now disconnect.